Operator: Good morning, everyone, and welcome to the Sally Beauty Holdings conference call to discuss the company's first quarter fiscal 2025 results. [Operator Instructions] Now I would like to turn the call over to Jeff Harkins, Vice President of Investor Relations and Treasurer for Sally Beauty Holdings. Please go ahead.
Jeff Harkins: Thank you. Good morning, everyone, and thank you for joining us. With me on the call today are Denise Paulonis, President and Chief Executive Officer; and Marlo Cormier, Chief Financial Officer. Before we begin, I'd like to remind everyone that management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K and other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligations to update them. The company has provided a detailed explanation and reconciliations of its adjusting items and non-GAAP financial measures in its earnings press release and on its website. Now I'd like to turn the call over to Denise to begin the formal remarks.
Denise Paulonis: Thank you, Jeff, and good morning, everyone. We are pleased with the continued momentum we saw in the first quarter in both our Sally and BSG business segments. Our ongoing focus on advancing our strategic pillars enabled growth in net and comparable sales, gross margin expansion and year-over-year improvement in profitability. Additionally, our free cash flow provided us with the flexibility to invest for growth, further strengthen our balance sheet and return value to shareholders through share repurchases in the quarter. Fiscal Q1 was marked by a fifth consecutive quarter of positive comparable sales at BSG as well as a third consecutive quarter of positive comps at Sally. On a consolidated basis, we grew the top line despite 60 basis points of unfavorable impact from unexpected FX headwinds. For our Sally segment, comparable sales growth of 1.7% reflects continuing traction with our initiatives and includes notable performance in hair color as well as e-commerce, which benefited from our successful marketplace strategy. Our targeted marketing campaigns are driving results, including strong customer reactivation and new customer acquisition. As we anticipated, our Fuel for Growth program and strategic promotional tactics resulted in strong gross margin performance, which expanded by 100 basis points compared to the prior year. Looking at BSG, comparable sales growth of 1.4% was primarily driven by a robust innovation pipeline and expanded distribution. We saw broad-based category growth across color, care and styling tools. As expected, the shortened holiday shopping period meant fewer chair hours for stylists, yet underlying demand remains solid. We are pleased to see operating margin levels regain ground, coming in above 12% and reflecting 130 basis points of year-over-year expansion as sales leverage and our Fuel for Growth program delivered benefits. Looking at fiscal Q2, we started the quarter with a choppy January, which had some unique influencing factors that preoccupied consumers, including a particularly harsh flu season, weather, wildfires in Los Angeles and new administration headlines. While some of these are clearly transitory, these pressures are reflected in our Q2 comp guidance of approximately flat. As we continue to see our strategic initiatives take shape, we remain confident that we're on track to achieve full year comps in the range of flat to up 2%. To that end, looking at the remainder of fiscal 2025, our teams are continuing to focus on advancing our strategic pillars, including enhancing our customer centricity, growing our high-margin owned brands and amplifying innovation and increasing the efficiency of our operations. The initiatives underpinning our strategy are driving top line strength as well as improvement on the bottom line as we maintain healthy gross margins and capture incremental efficiencies. Let me share an update on some key initiatives, starting with our Sally Beauty brand Refresh. We introduced our Sally brand Refresh on our last earnings call, and it is well underway. We expect to showcase a more modern, sophisticated Sally across all of our brand media touch points, in-store marketing and digital assets beginning this spring, putting us on track to roll out a fully updated brand expression in the second half of fiscal 2025. In the first quarter, we began piloting a store refresh with eight locations in the Orlando market, including a mix of light and heavy investment versions. Initial customer response has been positive with customers spending more time navigating throughout the store and exploring additional categories. We expect to have another 20 to 25 stores completed before the end of Q2, including in some other markets. We're excited about the way this is coming together as we strive to evolve Sally into a go-to beauty destination for brand and product discovery. Throughout fiscal 2025, we'll continue to evaluate the Orlando pilot stores with a view towards potentially refreshing up to two-thirds of our Sally fleet in the U.S. in the coming years. Moving to a second initiative, our licensed colors on-demand service offering. This is a highly successful differentiator for the Sally brand that skews to both younger and new customers and continues to scale nicely. The online platform has grown to more than 75 licensed colors, providing over 4,000 consultations per week. We are seeing a direct correlation between our social marketing campaign and increased consultation count as we continue to leverage key learnings to maximize our content and influencers to reach the potential LCOD audience. In Q1, we saw the average order was 23% higher than non-LCOD customers, and we continue to see that a high percentage of customers using the service are new to the brand. Looking at our marketplace initiatives, we're seeing strong results across the board. Our partners are helping bring us new customers to Sally and drive more profitable sales growth as we leverage our in-store fulfillment capabilities. To that end, DoorDash and Instacart both delivered outstanding results in the quarter with notable contributions to Sally e-commerce business, which grew 18% year-over-year and 24% in the U.S. Turning now to product innovation, which remains a hallmark of both business segments. At BSG, we are thrilled to be bringing premium hair care brand, K18, to all stores and e-commerce in the U.S. and Canada with an April 1 launch. Since its founding in 2020, K18 quickly became a breakthrough brand praised by stylists and industry experts and popular with influencers and celebrities. The brand's expanding lineup of biotech-backed hair care products is designed to address hair damage and support healthy, vibrant hair, providing stylists with faster, more effective solutions that eliminate the long processing times traditionally associated with repair treatment. At the same time, we're expanding on BSG's presence with key brands such as Amika, Moroccanoil and Color Wow, where we've already seen success. Later this year, we have innovation coming in hair care and skin care with brands including Image, Goddess Maintenance, Matter of Fact and Biotherapeutics. At Sally Beauty, we have new product launches coming in Q2 across color and care as part of our expanded partnership with Sauce Beauty as well as innovation in hair fragrances with UV Protection. And there's more to come in the way of on-trend launches with exciting brand partners in the second half of the year. Looking at our Happy Beauty pilot, we successfully opened our second tranche of 10 pilot stores in the Dallas and Phoenix markets prior to Black Friday, primarily in strip centers and mall locations. These set of stores performed particularly well during the holiday season, led by gifting purchases in body care, skin care and fragrance. As we anticipated, the mall environment is proving to be a natural traffic driver in the initial months of our pilot. As we progress throughout the year, we believe this expanded set of stores will provide us with an important read on locations, format and demographics that will help inform future strategy and planning. Lastly, our Fuel for Growth program is in full swing and delivering results. Building on the success of this program in fiscal 2024, we are on track to generate cumulative gross margin and SG&A benefits of approximately $70 million in fiscal 2025. All in, over the 3-year period from fiscal years 2024 to 2026, we expect to capture up to $120 million of cumulative run rate benefits. An important message I'd like to leave you with today is that the success of our strategic initiatives is supported by a strong foundation. I want to take a few minutes to step back and discuss the foundational assets underpinning our confidence in the company's competitive positioning, current business trajectory and long-term growth prospects. At the heart of SBH is our operating model focused on owning the hair color and care categories, where we have a tremendous advantage in the breadth of our assortment. Sally is the number two retailer of hair color for at-home use with over 15 million active known customers in the U.S. and Canada. Sally is the only national retailer that sells professional color to the at-home enthusiast who is typically looking for salon quality results at a great price. Our Sally portfolio includes over 30 color brands with over 1,200 shades of color. Our assortment is far superior to the quality and efficacy that is found in box color in drug stores, grocery stores and other mass retail locations. Over half of our customers buy color from us. Our color customer visits us with a higher frequency and spends more each trip than a noncolor customer, and we see strong cross-shopping from our color customers with color representing 60% of their basket. Additionally, color is the category that drives the majority of our new customer growth. BSG is the largest North American distributor of hair color and care, serving approximately 2 million active professional stylists. We offer professional stylists most extensive portfolio of brands with over 20 different color brands, including over 3,000 shades of color. As a wholesaler, our customers are required to set up full accounts with us. This means we know 100% of our customers. Over 70% of our salon professionals purchase color from BSG and average over $1,000 in annual spend on 11 trips per year. Similar to Sally, color drives the majority of our new customer growth. This position of strength has and will continue to endure as we built a substantial competitive moat through our commitment to customer service, education, advice and inspiration delivered through a modern omnichannel go-to-market model buoyed by an unparalleled store network. At Sally, this is supported by our associates that are color and care experts whose primary mission is to support our customers in achieving their desired salon quality look. At BSG, our store and full-service teams partner with our brands at trade shows and local education events, helping stylists with the latest innovation and styling techniques. Of note, many of our associates at both Sally and BSG are trained cosmetologists. This unparalleled customer reach and commitment to education and service creates a symbiotic relationship between SBH and the most influential brands in the hair category. For BSG, approximately 40% of our sales come from brands under exclusive or limited distribution agreements. These agreements give us exclusive distribution rights in certain territories and include many of the largest brands in the industry, including Wella, Schwarzkopf, Paul Mitchell and Goldwell. We also remain at the forefront of innovation with distribution partnerships with Amika, Color Wow, Moroccanoil, Danger Jones and as we just announced, K18. At Sally, we are proud to partner with innovative brands such as Sauce Beauty, Soapbox and KISS to bring new product discovery to our customers, complemented by recognized professional products from our long-term partners such as Wella, L'Oreal and Wow. Further, at Sally, our own brands drive trips and loyalty with high-quality, well-priced, on-trend only available at Sally brands. This includes brands such as ion, which is a $280 million brand for Sally as well as other notable brands like Bondbar, Inspired by Nature and Strawberry Leopard to name a few. Our own brands run about 10 to 15 percentage points higher in gross margin than our third-party brands. Lastly, from a financial perspective, our business has a strong balance sheet and consistently generates healthy gross margins over 50% and strong free cash flow. We believe all these factors serve as key differentiators and position us to capture an increasing share of the overall beauty market as we advance our strategic pillars to further evolve SBH into a modern beauty leader. Given the traction we are seeing thus far, we have conviction that the business is squarely on a path to deliver our long-term algorithm of low single-digit sales growth, mid- to high single-digit operating profit growth, and our return to a low double-digit operating margin. We appreciate the support of our shareholders and remain committed to building long-term value for all of our stakeholders. Now I'll turn the call over to Marlo to discuss the financials.
Marlo Cormier: Thank you, Denise, and good morning, everyone. We are pleased to be reporting a third consecutive quarter of positive top line performance in both business segments despite a $6 million headwind to sales coming from foreign currency translation. We also delivered healthy gross margins, operating margin expansion and strong free cash flow that allowed us to reduce our debt levels and return value to shareholders in the quarter. Q1 consolidated net sales of $938 million represented an increase of 0.7% and included 60 basis points of unfavorable foreign currency impact. Consolidated comparable sales grew 1.6%, reflecting continued momentum across both our Sally Beauty and BSG segments. Global e-commerce sales were $99 million. That's up 9% to last year and represented 11% of total net sales. First quarter gross margin expanded 60 basis points to 50.8%, primarily reflecting reduced shrink and lower distribution and freight costs from our continued supply chain efficiencies. Adjusted SG&A in the quarter totaled $398 million, up $5 million versus a year ago, which is in line with our expectations. The modest increase from the prior year primarily reflects higher labor costs as well as planned increases in advertising spend, partially offset by $6 million in savings from our Fuel for Growth program. In Q1, we captured approximately $11 million of pretax benefits to gross margin and SG&A, putting us on track to capture $40 million to $45 million of savings in full year fiscal 2025 and cumulative savings of approximately $70 million after achieving $28 million of benefit in fiscal 2024. The strength of our sales and margin performance in the quarter, coupled with savings from our Fuel for Growth program enabled us to deliver improved profitability versus a year ago. Adjusted operating margin of 8.4% increased 50 basis points. Adjusted EBITDA margin of 11.7% was up 20 basis points and adjusted diluted EPS of $0.43 was up 10% versus a year ago. Moving to segment results. Sally Beauty delivered another quarter of top line growth in the quarter. Despite a 90 basis point foreign currency headwind, Q1 net sales increased 0.4% to $525 million. Comparable sales were up 1.7%, driven by strong growth in hair color and our digital marketplaces. Comparable transactions were flat and average ticket was up 1%, driven by average unit retail. At constant currency, Sally e-commerce sales were $41 million and represented 8% of segment net sales for the quarter. That's up 18% to last year, primarily driven by the strength of our digital marketplace strategy. For the Global Sally Beauty segment, color grew 4%, while care was down 3% compared to the prior year. At Sally U.S. and Canada, color grew 5% and nails increased 2%, while care was down 1%. Importantly, we are pleased with the continued strength of our active known customers at Sally U.S. and Canada. In fiscal Q1, we generated 79% of our sales at Sally U.S. and Canada from this group, which is up 200 basis points from a year ago, driven partly by a modest increase in purchasing frequency. Gross margin in our Sally segment increased 100 basis points to 59.6%. The year-over-year improvement reflects higher product margins resulting from the combination of our enhanced promotional strategies and benefits from the Fuel for Growth initiatives and lower shrink expense. Segment operating margin was strong, coming in at 15.2%, up 40 basis points to last year. Looking at the BSG segment, we delivered a fifth consecutive quarter of sales growth, driven by expanded distribution and product innovation. Comparable sales increased 1.4%, while net sales were $412 million, an increase of 1.1%, including 20 basis points of unfavorable foreign exchange impact. Comparable transactions increased 3% and average ticket was flat. On a constant currency basis, BSG e-commerce sales were $58 million, representing 14% of segment net sales for the quarter. From a category perspective, color grew 3% and care increased 1%. Gross margin at BSG increased 30 basis points to 39.7%, primarily reflecting lower distribution and freight costs from supply chain efficiencies and lower shrink expense, partially offset by lower product margin related to brand mix. Segment operating margin was strong for BSG at 12.2%, up 130 basis points to the prior year. Turning to the balance sheet and cash flow. We ended the quarter in a strong financial condition with $106 million of cash and cash equivalents and no outstanding borrowings under our asset-based revolving line of credit. Inventory levels remained healthy at slightly over $1 billion, essentially flat to last year. The business continued to generate solid cash flow, enabling us to invest for growth, pay down debt and return value to shareholders during the quarter. Q1 cash flow from operations was $34 million, while operating free cash flow totaled $57 million. As a reminder, that includes $44 million of proceeds from the planned sale of our corporate office, which we discussed on our year-end earnings call. Capital expenditures totaled $20 million in the quarter. After utilizing excess cash to pay $41 million of Term Loan B debt, our net debt leverage ratio now stands at 1.9x, which is now inside of our target range of 1.5 to 2x. We also deployed cash to repurchase $10 million of stock under our existing share repurchase program. These actions are aligned with the capital allocation priorities we previously outlined for fiscal 2025, investing for growth, strengthening our balance sheet and returning value to shareholders and demonstrate our ongoing commitment to create long-term value for all of our stakeholders. Turning now to guidance. We are reiterating our full year outlook for both comparable sales and adjusted operating margins for fiscal 2025. We are also updating our consolidated net sales guidance for the full year due to the unfavorable impact from foreign currency exchange rates. Our fiscal 2025 guidance is as follows: comparable sales are expected to be in the range of flat to up 2%. Consolidated net sales are now expected to be approximately 100 basis points lower than comparable sales due to the expected unfavorable impact from foreign currency exchange rates. And adjusted operating margin is expected to be in the range of 8.5% to 9%. We're also introducing guidance for the second quarter of fiscal 2025 as follows: comparable sales are expected to be approximately flat to the prior year, reflecting the factors Denise outlined. Consolidated net sales are expected to be approximately 100 basis points lower than comparable sales due to the expected unfavorable impact from foreign currency exchange rates, and adjusted operating margin of 8% to 8.3%, reflecting an improvement of 40 to 70 basis points versus the second quarter of fiscal 2024. In closing, we are pleased with our first quarter results and the progress we are making on our strategic initiatives, which gives us confidence in the remainder of the year and our long-term trajectory. We appreciate your time this morning. Now I'll ask the operator to open the call for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Oliver Chen from TD Cowen. Please go ahead.
Oliver Chen: Thanks a lot. Hi Denise and Marlo. Great quarter. Regarding your second quarter guidance, what's happening by banner in terms of the dynamics of Sally relative to BSG? And then as we look towards the back half, what should we think about in terms of the comp trajectory implied by your guidance? Would also love your take about what the forecast embeds for traffic relative to ticket? Thank you very much.
Denise Paulonis: Good morning, Oliver, and thank you for the congrats. We were excited about our first quarter. When I think about your question overall, I'll step back and start a bit with, we remain very focused to deliver on our full year comp sales plan, which is to be up 0% to 2% in comp sales, and our first quarter was squarely in line with delivering on that. As we look to Q2 and the guidance that there's for Q2, coming into the quarter. What we knew is that there are embedded in Q2, are two known headwinds for BSG from last year. So one is lapping the load-in of both Amika and Briogeo for our Armstrong McCall franchise businesses as well as an unfavorable calendar, in terms of ship days and numbers of Mondays of operation, which are big days for BSG. So those were kind of known pullbacks from what we would have seen in Q1. And then the guidance also reflects that the macro environment in January, and what's emerged in the quarter has been a little bit choppier and noisier than we had hoped for. But in all honesty, anticipated some of how we thought about our full year. And so within that, what are we really seeing, right? The noisiness that started in the new year, whether that was the flu, weather, new administration, wildfires. It distracted our consumer a bit and maybe created a little uncertainty. It's kind of manifested in two different ways. At BSG, our stylists have actually just seen disruption in their appointment books from illnesses, whether that be the customers, or themselves kind of taking time away from their chairs. And so, they are buying closer to need, and that's more focused on color that they need for their services, and color has remained quite strong. And on the Sally side, once again, color remaining strong, but a little bit more uneven traffic trends where we have a choiceful consumer for some of our other categories. Underlying it all, still feel good about the trajectory of the business, but just realistic about the weathering of what's come through in January, and being prudent as we think about the rest of the quarter. When we think to the back half of the year, very excited about the trends in the business and what we have to deliver. After three straight positive comp quarters in both businesses, the things that we're doing against our strategy are delivering. We think they'll continue that way. Couple of highlights. BSG, the launch of K18 across all stores in e-commerce comes online April 1, which is the beginning of our third quarter. We'll continue with expanded territory distribution with Moroccanoil. And we're seeing great innovation in the Tools segment, whether that's with the Universal Neuro Dryer and other brand innovation. So a lot to look forward to on the BSG side. And similarly, on Sally, digital expansion with marketplaces and the performance marketing that's behind that is performing well, as you've heard about in the first quarter. We continue to have more innovation coming there as well, not just in color and care, but also in nails. And then we're working our CRM customer file quite hard. The personalization efforts that we have ramping in terms of driving trips and frequency, really are helping our growth, and we expect that to continue as long - as well as the performance within our app. So all of those real signs of strength. When we think about the mix overall, and you talked about kind of traffic versus ticket, we think traffic will continue to be relatively flat, but we're seeing nice increases in frequency with some of our most frequent shoppers, and our most loyal shoppers that we anticipate will continue as we go through the year.
Operator: Your next question comes from the line of Korinne Wolfmeyer from Piper Sandler. Please go ahead.
Korinne Wolfmeyer: Hi, good morning. Thanks for taking the question. Maybe to build off of that prior question, just any color on kind of where you feel like you're sitting within your full year guidance range, after the Q1 and then the expectations for a softer Q2. You did reiterate that full year range. Just trying to figure out where we might stake out, and how much upside downside there is there. And then any color on kind of the operating margin cadence for the remainder of the year? You gave some Q2 color. But as we think about Q3 and Q4, any puts and takes that could alter that expansion cadence for the back half? Thank you.
Denise Paulonis: Good morning, Korinne. I'll start on the point on comp and the range for the full year. I think the important part is we're four months into our fiscal year. And Q3 and Q4 are our largest two quarters of the year. So we've got a lot of the year to go. As we look at things today, we're squarely within the guidance range that we provided. I think there's nice potential for upside with the things that I just mentioned in the prior question on both the Sally and BSG side around innovation, performance marketing, things to come to pass. But I think as we said when we guided for the full year, we were also prudent that we haven't had a year yet that has not had some sense of newness, or uncertainty around the consumer behavior. So I feel good about where we are. I feel like we're squarely in that guidance range. Marlo, do you want to talk about operating margin?
Marlo Cormier: Yes, the operating margin cadence in terms of how we're looking at the back half, it's really a continuation of what we've seen in Q1, and you'll see it in Q2, as well with our Fuel for Growth program, really bringing benefits on a quarterly basis. So we're looking at about $40 million of benefit. That was split between gross margin and SG&A. It's a fairly regular cadence, as you go throughout the quarters. And so, you'll see some gross margin expansion on the gross margin line, as well as SG&A. We'll contain those costs, you saw us leverage, are relatively flat in terms of dollars. That will continue as we go through the rest of the year as well. So the combination of the growth in the sales line as well as the Fuel for Growth benefits flowing through, we'll see some operating margin expansion continue, as we go to the back half of the year.
Operator: Your next question comes from the line of Susan Anderson from Canaccord Genuity. Please go ahead.
Alec Legg: Hi, good morning. Alec Legg, on for Susan. Can you just talk about the promotional environment? What are you seeing year-over-year, and maybe even comparing it to pre-pandemic levels? And then just a follow-up on that. Are you able to talk a little more in detail about the puts and takes on gross margins in the quarter? I mean you mentioned lower shrink. Are you expecting that to last through the rest of the year? Thank you.
Denise Paulonis: Good morning, Alec. On the promotional levels that we saw in Q1, what I'd start with saying is that value continues to be very important on both the Sally and the BSG side of the business. In terms of our promotional intensity, promotional levels were relatively flat and frequency was pretty consistent in both segments, compared to last year. Customers do continue to buy on those promotions. So we see nice uptake with that promotional activity. Given the way that we assort and we plan, we think we were at the right level of promotional activity in the quarter, and feel good about how we're working through that. And I think to that end, when we think about managing our promotions, we're really focused on delivering the value message to customers. So that they know that, that value is out there, but then doing it very strategically so that we're driving volume. So all of our promotions are really driven through the filter, of both creating that excitement for the customer, but achieving good unit volume when we do it.
Marlo Cormier: On the cadence for the gross margin, again, we're very pleased with the expansion that we had in Q1, a 60 basis point expansion. Again, we expect that expansion to continue but moderate somewhat in the back half of the year. There are puts and takes in terms of our inventory levels, and purchases that will cause some fluctuation as you go. But in terms of the shrink improvement. That started in the middle part of last year with some actions that we put in place. So very pleased with that. That will continue, but it will start to moderate as we get to the back half of the year. Underlying too, is our promotional change. We made that about Q3 of last year as well, in terms of changing our strategic promo there that was adding to our gross margin and has continued. That will too moderate as we lap. But for the most part, our Fuel for Growth initiatives will continue, like I said, the pace at - consistent paces throughout the quarter and continue to add to that gross margin expansion.
Operator: Your next question comes from the line of Ashley Helgans from Jefferies. Please go ahead.
Ashley Helgans: Hi, thanks for taking our question and congrats on the nice quarter. So maybe to start, if you could just kind of share what innovation you're seeing in the market right now, and maybe how that compares to last year? And then, if you could talk maybe about how traffic was pacing throughout the quarter, and maybe how demand evolved? Thanks.
Denise Paulonis: Sure. So on the innovation front, I think that the great news is within the hair space and the nail space overall, innovation has stayed very robust coming out of COVID, where there had been a bit of a pocket, or a lull in some of that innovation. On the Pro side, we continue to see in the care world, things such as K18 that have a lot of efficacy, and really help our stylists become more efficient in the services they provide. I think that's only going to continue. We've also seen great innovation around tools, and simplifying the way a stylist can use a dryer, or an iron and once again, make their lives a little bit easier, and we're seeing nice uptake from stylists as they're trading up to easier-to-use tools in the space as well. And on the retail side, those same trends persist and carry over. And I would also add that in the nail world, we continue to see strength around press ons and once again, people doing manicures at home with a lot better tools, and capabilities that you would normally find in a salon now becoming an at-home trend. So we're excited on all fronts about the innovation profile that we have coming through right now. You also had mentioned about traffic that we were seeing. Q1, what we saw, Q1 was quite benign. We saw great consistent behavior through most of the quarter outside of that natural period of time of that shortening of the holiday selling season, which just really compressed purchases a bit. So we saw transactions flat to up in both of our businesses, which was great to see. And as we come into the start of the second quarter, as I mentioned in some remarks earlier in my prepared remarks. We saw a little bit more noise come into the consumer patterns that are there. And we see that spike around flu season. We see that spike when we have some different weather patterns, or some big news cycles that come through. Underlying it, demand is healthy. We're particularly seeing that in the strength of our color business where that's a very sticky customer base. And a very loyal customer base in terms of what they come in. If anything, what we've seen is those customers who might not be color customers, and shop across other categories is where we see a little bit more hesitancy, or a little less traffic coming into the stores. But overall, pleased with the direction of the business.
Operator: Your next question comes from the line of Simeon Gutman from Morgan Stanley. Please go ahead.
Simeon Gutman: Hi, good morning everyone and a nice job in the quarter. So my question is the margins of the business have been great. You've gotten good gross margin expansion, and you've really kept SG&A growth at a minimum, as you reinvigorate the top line. It looks like some of these things could be peaking. You mentioned gross margin could taper a little bit in the back half. I don't know does Fuel for Growth allow you to keep SG&A within a very low single-digit band. I guess the question is that you see the top line inflecting further, by the back half of the year as some of these margin levers taper, to be able to keep this kind of mid-single-digit rate of EBIT growth, which is impressive. That's the big question. How does this all play out? Do you have more initiatives that can help gross margin keep going, so you don't have to be as reliant on the sales accelerating? Just trying to get a sense of how you're thinking about it?
Denise Paulonis: Yes. So Simeon, it's Denise. Let me start, and I'll have Marlo to talk a little bit more about some of the efficiency work as well. Overall, we believe that we are on a pace to get that mid-single-digit operating margin growth, as we proceed through the full year. We feel great about the Fuel for Growth and other initiatives that Marlo can talk about a bit more. But our top line really is built to continue to weather the ups and downs of what might come with the consumer. But continue to have those strategic initiatives drive growth. But I think that the great news is the flexibility that we have built in with the strength of the margin, the strength of the portfolio and innovation, depending with some moderation of what sales could be, I still feel great about the bottom line.
Marlo Cormier: Yes. I would just reiterate our Fuel for Growth program. We've already delivered over $20 million, $28 million in '24. We've got another $40 million to $45 million on target for this year in 2025, and we're well on the path to $120 million by 2026. I'd say the good thing about that program, is not only do we have a path to the dollars, we actually are building a muscle within our own organization in terms of new ways of working, new ways of thinking. Continually to add to the pipeline of opportunity with our Fuel for Growth. So while we've defined this program as a three-year program, this is an ongoing program for us. So we're looking to see results for this for the long-term. But clearly, I believe that we're going to deliver, or actually are on the path to deliver the numbers that we put in. And so from a margin expansion, I see this not only going in '25, but beyond '26.
Operator: And your final question today comes from the line of Olivia Tong from Raymond James. Please go ahead.
Olivia Tong: Great, thank you. You called out external disruptions and macros is driving the expectation for Q2 deceleration. Obviously, that makes sense. Have you started to see any improvement now that we're further away from some of the shocks in January? And then, of course, your customer skews a bit more towards value. So given the increased macro pressures, I'd love to hear a little bit more about what are - what's going to offset that allows for that second half improvement, or if it's just moving further away from some of those shocks in January? And then switching topics on the topic of tariffs, which I don't think we talked about so far today. I know - I don't think you directly source from any of the main regions of China, Canada and Mexico. But if you could talk about your conversations with some of your vendors, and their exposure and how you think that could potentially play out? Thank you.
Denise Paulonis: Good morning. Let me just start a little bit with the quarter. I think everything that we've seen around the macro items, is reflected in the guidance that we have. I will tell you, January showed a brunt of the weather and flu season, is peaking now. So we'll just watch those trends as we work our way through, the rest of the quarter. But feel good about where we are. And as I said, I feel good about our ability, to pivot and navigate as we need to, with the tactics that we can exercise throughout the back half of the year. And we have a proven track record. So when we think about that equation, of value becoming more important to customers, or could become more important to customers, we've been able to think differently about our promotional tactics. And importantly, focus on what's new and different for us, to keep getting customers in our door, which is really around innovation. It's our service levels. It's our capabilities around licensed colors on demand to create experiences that we don't otherwise have. And within the Sally business itself, continuing to push kind of our new brand image, as we're going to roll out some of our marketing campaigns. All our fuel underneath what is the strength of the strategic pillars coming, through that we're excited about. So we'll continue to navigate the year, but feel it's all within our control, to deliver as we work through. Marlo, do you want to talk a bit about tariffs?
Marlo Cormier: Yes. From a tariff point of view, we've been through this before. So similar to the last round of tariffs, I think it is important, as you called out, to understand that our exposure is not overly significant relative to some of our peers. We do receive about 10% of our product, or less than 10% of our product from Asia and China, really nothing material from Mexico or Canada. We would employ a similar playbook that we did in the previous go around, which included a combination of switching vendors, increasing volumes at other sites and, of course, some price increases. But we're monitoring it, is a very uncertain environment at this point, but keeping a very close eye on it.
Operator: I'll now turn the call back over to Jeff Harkins.
Denise Paulonis: Hello, everyone. It's Denise. I just want to close today by saying thank you so much to our associates around the world. I know how hard all of you are working, to serve our customers, bring them the innovation and coaching and advice that they need to deliver on their beauty aspirations. So thank you again for all the work that you do. And to our shareholders, thank you again for your support, and we look forward to updating you again next quarter.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Teleconference. You may now disconnect.